Operator: Hello, and welcome to the Eastern Bankshares, Inc. Second Quarter 2023 Earnings Conference Call. Today's call will include forward-looking statements, including statements about Eastern's future financial and operating results, outlook, business strategies and plans as well as other opportunities and potential risks that management foresees. Such forward-looking statements reflect management's current estimates or beliefs and are subject to risks and uncertainties that may cause actual results or the timing of events to differ materially from the views expressed today. More information about such risks and uncertainties is set forth under the caption forward-looking statements in the earnings press release as well as in the Risk Factors section and other disclosures in the company's periodic filings with the Securities and Exchange Commission. Any forward-looking statements made during this call represent managements views and estimates as of today and the company undertakes no obligation to update these statements as a result of new information or future events. During the call, the company will also discuss both GAAP and certain non-GAAP financial measures. For a reconciliation of GAAP to the non-GAAP financial measures, please refer to the company's earnings press release which can be found at investor.easternbank.com. Please note this event is being recorded. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the conference over to Bob Rivers, Chair and CEO. Please go ahead. 
Bob Rivers: Thank you, Joanne. Good morning, everyone and thank you for joining our second quarter earnings call. As always, I'm joined today by Jim Fitzgerald our Chief Administrative Officer and Chief Financial Officer. Although, the operating environment for banks remains challenging in some respects, we feel very good about our results this quarter. In particular, we demonstrated that our securities repositioning in the first quarter strengthened our balance sheet and improved our earnings outlook, improvements that were immediately impactful and can be seen in our second quarter results. Our net interest margin improved 14 basis points during the quarter and is in line with our guidance from last quarter. In total, our operating revenues were higher than the first quarter as well. In addition, we were able to reduce our wholesale funding by $1 billion during the quarter, which allowed us to shrink our asset base and create a stronger balance sheet and earnings profile. While we expect the challenging environment to continue and potentially become more so over the next few quarters we have taken steps to ensure that we are well prepared. For example, although both our leading credit indicators and traditional asset quality metrics improved in the quarter, we increased our allowance for loan losses and moved our provision higher in the quarter to be consistent with that outlook. We also believe the Fed will keep rates higher for longer and that the heightened competition for deposits will continue for some time. Although, we were able to contain our overall cost of funds in the quarter that was primarily due to the reduction of wholesale funds through the securities sale last quarter. We continue to see a migration from lower cost deposits to higher cost deposits and expect that trend to continue. We will look for opportunities to further improve our overall funding position as we move forward. Our primary focus and strategy for the next few quarters is to position ourselves so we can gain market share and improve our competitive position in this environment. The failure of both Silicon Valley and First Republic has created significant term model in our market. Although, we operate differently than they did there is market opportunity that is very clear to us. Our commercial loan growth was strong in the quarter and we think it demonstrates that we have been very open for business and is consistent with our long-term desire to meet our customers' needs throughout all phases of the business cycle. That said, we expect lower growth slower growth for the rest of the year as you will hear Jim describe further. For the upcoming quarters we will continue to focus on opportunities to improve our balance sheet and earnings outlook. As the environment becomes more challenging those strengths will potentially provide opportunities to further gain market share and help us strengthen our position as the leading community bank in Greater Boston. Once again, we are pleased with our results this quarter and feel very confident regarding Eastern's future growth and performance. As always, most of the credit for this goes to my 2,100 colleagues who continue to ensure that Eastern remains the strong and reliable financial and community partner we have been for the past 205 years as well as to our customers and community partners through their continued business and support. And now I'll turn it over to Jim. 
Jim Fitzgerald: Great. Thanks Bob, and good morning everyone. I'll first provide some high-level comments on the quarter and then take a closer look at the balance sheet income statement and then our outlook for the rest of the year. As Bob mentioned, we're very pleased with our results for this quarter, especially given the challenges faced by our industry. The interest rate environment continues to create headwinds for deposit levels and overall funding costs, and we are carefully reviewing all our loan portfolios, as we watch for signs of a weakening economy. Despite of the environment, we produced very good core operating results, while maintaining strong asset quality this quarter. We feel confident we are very well positioned for future growth in our markets. The repositioning of the securities portfolio in the first quarter strengthened our liquidity, and improved our earnings path, while maintaining very robust capital levels. All of these attributes position us to better withstand today's environment and we expect will improve our prospects for growth and success over time. We experienced a 14 basis point improvement in our net interest margin in the second quarter as our margin expanded from 2.66% to 2.80% on a fully tax equivalent basis. We've reduced our borrowings by $800 million to $350 million at the end of the second quarter or less than 2% of total assets. We also ended the quarter with very meaningful levels of cash at nearly $900 million demonstrating liquidity enhancements from the first quarter repositioning. Net income was $48.7 million in the second quarter, and $45.3 million on an operating basis. Earnings were $0.30 per diluted share and $0.28 per diluted share on an operating basis. Asset quality remained very sound in the quarter with essentially no charge-offs a decline in non-performing loans to just $31 million or 22 basis points of total loans, and a reserve build of $7 million bringing reserve coverage of non-performing loans to nearly 500%. As we continue to expand our market presence loan growth was 8.4% on an annualized basis in the quarter, which was led by commercial and consumer loan growth of approximately 10% and mortgage loan growth of 2%. Our Board approved a dividend of $0.10 per share payable on September 15 to shareholders of record on September 1, 2023. I'll now turn to a review of the balance sheet. Assets ended the quarter at $21.6 billion down $1.1 billion from the prior quarter primarily due to a reduction in cash and borrowings. As we mentioned on last quarter's call, we held our cash balances very high at $2.1 billion at March 31 due to the uncertainty created by the bank failures, and we're happy to reduce those levels as the operating environment stabilized in late April and into May. We ended the second quarter with just under $900 million in cash as we continue to prioritize maintaining strong balance sheet liquidity. The cash level was down $1.3 billion from the end of Q1. Securities ended the quarter at just under $5 billion, down from $5.2 billion in the first quarter primarily due to paydowns. Loans ended the quarter at $14 billion increasing $287 million from the prior quarter, primarily due to an increase in commercial loans of $239 million $35 million in consumer loans and $13 million in residential loans. Total deposits decreased $361 million in the quarter and we continue to see mix shift towards higher rate interest-bearing deposits. Borrowings decreased by $787 million in the quarter and ended the quarter at $351 million. Shareholders' equity decreased by $54 million due to a decrease in AOCI partially offset by growth in retained earnings. Moving to the earnings review. GAAP net income was $48.7 million or $0.30 per diluted share and operating net income was $45.3 million or $0.28 per diluted share. Net interest income was $141.6 million, an increase from the $138.3 million in the prior quarter. The net interest margin was 2.80% for the quarter up from 2.66% in the prior quarter. Interest-earning asset yields were up 35 basis points in the quarter while interest-bearing liability costs were up 30 basis points. As you can see on the waterfall chart on slide 6, the margin improvements came from loans investment and cash income as well as the reduction in borrowing expense and were partially offset by an increase in deposit costs. On the funding side, the cost of our interest-bearing liabilities for the month of June was 1.77% which was stable during the quarter as you can see on the top of slide nine. This was due to the repositioning and the reduction in wholesale funds that took place in the quarter. Deposit costs were 1.22% in Q2 up 30 basis points from the 0.92% in the prior quarter. The 30 basis point increase was slower than the increase of the prior quarter. Provision for loan losses was $7.5 million in the quarter up essentially from no provision in Q1. As mentioned, we had loan growth of $287 million in the quarter and we also increased our overall ACL factors in the quarter by three basis points, primarily due to higher risk in the investor office space. Non-interest income was $53.8 million for the quarter and $50.8 million on an operating basis. Eastern Insurance had another strong quarter with $27.6 million of revenues up 12% from the same quarter last year. As we've mentioned in the past there is a seasonal nature to our insurance revenues with the bulk of incentive payments from insurance carriers being received in Q1. All other non-interest income line items showed increases from the prior quarter. Non-interest expense was $121.7 million on a GAAP basis and $120.3 million on an operating basis in the quarter. As we outlined on slide eight, the increase in salaries and benefits occupancy and data processing costs totaled $1.1 million in the quarter. The larger increase in all other expenses included an increase of $1.5 million and the provision for credit losses on off-balance sheet commitments. The effects of higher FDIC insurance premium as well as an increase in marketing costs. Tax expense was based on an effective tax rate of 27% in the quarter, which was higher than our guidance last quarter. There are some complexities from the securities repositioning last quarter that have impacted that rate. I'll have some comments on our expectation for the tax rate over the rest of the year during the outlook. Asset quality continues to be very sound similar to the prior several quarters we experienced nominal net charge-offs in Q2. Non-performing loans of $30.6 million are at very low levels and our reserve coverage to NPLs is over 480%. We continue to watch for the impact of a weaker economy on the loan portfolios. Through the end of the second quarter both our traditional credit metrics and our leading indicators were stronger than they were in the prior quarter. As I mentioned, though we felt it prudent to add to our reserve levels in the second quarter as we expect credit trends to normalize over time. We updated the snapshot of our office portfolio and included it in Appendix B of the presentation. As indicated on the slide, there hasn't been much change during the quarter although we continue to closely monitor this asset class. As we mentioned on slide 18, we have no non-performing loans in our investor office portfolio and our overall commercial real estate portfolio is performing very, very well. I wanted to provide a few comments on our outlook which is included on slide 13. We expect commercial loan growth to slow in the second half of the year to the low single-digits and for mortgage and consumer loans to have a little no growth in the second half of the year. We're increasing our outlook for operating non-interest income for the full year to a range of $175 million to $185 million up from the prior outlook due to the strong first half performance. We expect that some of the items in our other non-interest expense line item will return closer to Q1 levels over the rest of the year. We would expect to be at the higher range of our prior guidance that was between $465 million and $475 million for our nonoperating non-interest for our operating non-interest expense for the year. We expect the tax rate for the second half of the year to be between 22% and 23%. Although as we note on the slide it could be volatile quarter-to-quarter. We expect our net interest margin to be in the range of 2.7% to 2.8% and for our full year net interest income to be modestly lower than the level of 2022. Our forecast was based on the forward curve as of early July, which assumed a 25 basis points rate increase from the Fed that we saw this week. In closing, we're very pleased with our results for the quarter in what remains a difficult environment. We continue to look for opportunities to improve our overall balance sheet strength and funding profile and are optimistic we will be very well positioned to take advantage of any opportunities as the challenging environment continues. Thank you. And Joanna, we're ready to open the line for your questions.
Operator: Thank you. [Operator Instructions] First question comes from the line of Damon DelMonte at KBW. Please go ahead.
Damon DelMonte: Hey good morning everybody. I hope everybody is doing well today. So just wanted to start off with a question on the margin outlook Jim, so if you kind of look at the first two quarters' worth of margin that kind of puts you in like 273, range or so. So do you kind of expect the margin to hold steady at this 280 level, or do you think it's going to kind of drift down over the next couple of quarters? And what are some of the puts and takes that go into that?
Jim Fitzgerald: Yeah. I think, Damon, as we say on the slide and in my remarks we expect the margin to be between 270 and 280 so, somewhat along with what you said. The rate outlook today is higher than it was a quarter ago. If you go back and look at the forward curve at that time was different. So rates are up a little bit since then, which is why we're seeing a little bit of a modest reduction in our outlook there. But the margin as we said we expect to be between 270 and 280.
Damon DelMonte: Okay. And what are your thoughts on the $900 million of cash that you have? Are you planning on holding that for a little while longer, or do you expect to try to reduce borrowings and/or brokered CDs in the coming quarters?
Jim Fitzgerald: I would expect that to come down a little bit although, we are prioritizing balance sheet liquidity. I think coming through the bank failures that was obvious that it's important. So we expect it to come down a little bit, but we would still hold higher levels of cash than we did say a year ago.
Damon DelMonte: Got it. Okay. And then, I guess, just with loan growth kind of moderating in commercial in low-single digits and not much other growth in the other areas of the portfolio. You did a little bit of reserve build this quarter. Do you feel like, you've adequately gotten to the level that you want to be at, or should we kind of expect that higher level provision similar to this quarter?
Jim Fitzgerald: Right. It's a good question Damon. I would answer that, two-parts, right? So if you look at our provision this quarter and prior quarters considerable amount is driven by loan growth. So we had call, it $300 million worth of loan growth this quarter and that attracts a higher allowance and goes through the provision. So that will change if loan growth comes down which is what we guided to and what we anticipate that component of the provision would come down accordingly. The ACL buildup that we had this past quarter, I would consider a fine-tuning. We had overall given the size of the portfolio as I said, I would consider a fine-tuning. It's hard to give you any more color on what happens in the future will depend on the environment.
Damon DelMonte: Got it. Okay. Great. Thanks for taking my question.
Jim Fitzgerald: Thanks, Damon.
Operator: Thank you. The next question comes from the line of Mark Fitzgibbon at Piper Sandler. Please go ahead.
Mark Fitzgibbon: Hey guys. Good morning.
Jim Fitzgerald: Mark, Good morning.
Mark Fitzgibbon: Jim, on your fee income guidance, the high-end of your guide of $185 million implies sort of fees of call it $41 million a quarter for the last two quarters of the year. I know you'll have some decline in insurance commissions. But what are some of the other areas where you expect things to soften up?
Jim Fitzgerald: It primarily is insurance, Mark. So if you look at the prior years and the quarterly trends over the course of the year, it starts out very high and moves down over the course of the year. Some of that's insurance payments and there are some anomalies in the fourth quarter as well. So that reduction is primarily -- not primarily, it's essentially all in the insurance line.
Mark Fitzgibbon: Secondly, I was curious, if you are contemplating any additional balance sheet restructuring moves?
Jim Fitzgerald: I think Mark, we continue to look at all sorts of balance sheet opportunities but we don't anticipate anything. I wouldn't say the first quarter actions were pretty significant. Certainly nothing like that. As Bob said and I said, we continue to look for ways around the edges to improve the funding profile and the balance sheet generally. But I would expect those will be very, very modest.
Mark Fitzgibbon: Okay. Do you have a sense for the dollar amount of office loans that either mature or reprice in say 2023 or 2024?
Jim Fitzgerald: We can come back on that, it's steady. It's not lumpy. It's steady over time and we can come back on that as to whether or not we would provide that.
Mark Fitzgibbon: And then lastly, given some transactions in the industry recently, I wondered if you're thinking on M&A has changed at all. Do you think transactions can kind of get done in this environment in your market?
Jim Fitzgerald: We're -- and Bob can comment as well. I think we're always students of the acquisition game. Those were interesting transactions and we'd love to understand them better. We'll take the time to do that. Facts and circumstances and things align as you know. So, it's really hard to comment other than say those were -- certainly, the PacWest transaction looked like it had some very clever attributes.
Bob Rivers: I mean Mark we're certainly interested in opportunities and stay in active contact with potential partners. And if we can find a situation that we can make the numbers work and works for us strategically, we'd certainly have an interest.
Mark Fitzgibbon: Thank you.
Operator: Thank you. Your next question comes from the line of Janet Lee at JPMorgan. Please go ahead.
Janet Lee: Hello. Good morning.
Jim Fitzgerald: Good morning, Janet.
Janet Lee: I want to understand -- I want to make sure that I understand the prior comment. So for the rest of 2023 the trajectory of NIM could be fairly steady versus the second quarter and taking your NII sensitivity into your account, should the Fed start cutting rates in 2024, what would that mean for your NII and NIM trajectory?
Jim Fitzgerald: So we haven't provided any guidance for 2024 yet, Janet. Janet, it's too much of a moving target at this point. I think what we put on the slide and what I articulated in my comments was for the rest of this year and obviously, the environment is moving very quickly. And as I said, we haven't put anything out for 2024 yet.
Janet Lee: Okay. Fair. And I know it's very difficult to guess, but if you have to make your best guess as to where your non-interest bearing deposits would bottom as a percentage of total? Like what would be your guess there? Like could it dip much below 29% today?
Jim Fitzgerald: Janet, those are really hard to guess is the right word. And it's not something -- we watch the trends like you watch the trends and we'll continue to watch. It's really hard to make predictions in that space.
Janet Lee: Okay. And apologies if this came up already but any near-term plan for share repurchases given your capital levels still very high versus peers?
Bob Rivers: Sure. Similar to what we've said over time on share repurchases really three criteria. One is market conditions two is capital and three is liquidity. And those are three evolving and interrelated subjects as we didn't -- as we reported -- we didn't report any share repurchases but it is something we continue to evaluate. And if you look at our track record over a longer period of time something, we're interested in, but it's really those three criteria market conditions capital and liquidity that we need to feel very confident about. And we'll obviously communicate as we make decisions going forward.
Janet Lee: Okay. Thanks for taking my questions.
Operator: Thank you. There are no further questions at this time. I will now turn the call back over to Bob Rivers for closing remarks.
Bob Rivers: Great. Well, thank you again for your interest and your questions, and best wishes for a great rest of summer.
Operator: Thank you. This concludes today's conference call. You may now disconnect.